Vincent Clerc: Welcome, everyone, and thank you for joining us on this earnings call today, where we present our fourth quarter and full year results for 2025. My name is Vincent Clerc, I'm the CEO of A.P. M�ller - Maersk. And with me in the room today for the last time is our CFO, Patrick Jany. Before we start, I'd like to thank Patrick for all of his hard work and support over the past 6 years here at A.P. M�ller - Maersk, and wish him the very, very best in the next steps of his career. As we announced back in December, Robert Erni will succeed Patrick in the coming days. We look forward to introducing you to Robert on our upcoming road shows and conferences. If we start with the highlights from 2025 notwithstanding a challenging external environment, especially in Ocean, we are pleased with the strong year overall, in which we made good operational progress across all of our business segments. We closed 2025 with a full year EBITDA and EBIT of $9.5 billion and $3.5 billion, respectively. This places us towards the upper end of the most recent financial guidance we had communicated to you back in November. Specifically in Logistics & Services, we strengthened the performance of our portfolio on the back of improved operation, stronger cost and yield management measures, delivering 4.8% in EBIT margin for the year. This represents an improvement of 1.2 percentage points on 2024. We are, of course, proud of the progress we have made, but are either complacent or satisfied with where we are. And improving both our results and growth rates in Logistics will remain a priority in 2026. In Ocean, Gemini successfully implemented, delivering unprecedented reliability for our customers and significant cost benefits, which we have revised upwards on an annual basis, and I will look at this further in a short while. Gemini has also allowed us to deliver strong volume growth of nearly 5% through increasing asset turns while limiting the fleet size expansion. This was against the backdrop of sequentially receding rates because of increasing overcapacity and volatility created by trade tensions, especially towards the middle of the year. The agility of the new network helped us manage this volatility by ensuring that we could react to the volume swings on the U.S.-China trade lanes. Finally, it has been a record year for Terminals, both in terms of top line and earnings. In the year, we delivered a strong revenue growth of 20% and EBIT growth of 31%. The top line was driven by strong volumes, mainly from additional Gemini services, higher pricing and continued growth investments in critical infrastructure. Utilization remains high, but with our multiyear investment program, we are confident in our ability to take advantage of the market growth in the upcoming years. As we look ahead to 2026, we see a continuation of strong global container demand translating into a volume growth that we expect to land between 2% and 4%. Based on various scenarios we currently see, especially on industry overcapacity in Ocean, we guide for a full year EBIT of between negative $1.5 billion to positive $1 billion free cash flow above negative $3 billion and a CapEx for full year '26 and '27 combined of between $10 billion and $11 billion. As usual, more detail on the guidance will follow later in the call. With the numbers now out of the -- for the full year, we can also announce a dividend proposal for the year that just passed. For 2025, the dividend proposal will be set forward by the A.P. M�ller Board at the AGM on March 25 and is a dividend per share of DKK 480. This is equivalent to 40% payout of our underlying net results in line with our dividend policy and the same payout ratio of the 2024 dividend. Looking back at the year just past, we generated thus a total shareholder return of 35% in 2025 through capital gains and dividends. With a strong balance sheet, we are also in a position to announce a continuation of the share buyback program. The new tranche will be approximately $1 billion with a duration of 12 months and will begin immediately. The lower level reflects the higher level of uncertainty and the lower rate environment that we are headed into in 2026. This implies a total cash return to shareholders for 2026 of approximately $2.1 billion, of which $1.1 billion is the proposed 2025 dividend subject to the AGM approval, and the remaining $1 billion is the new tranche of the share buyback program. Now taking a closer look at the fourth quarter performance for each of our business segments. First, Logistics & Services continue to track positively this quarter. We achieved an EBITDA margin of 4.9% up from 4.1% last year, but down from the 5.5% we had in the last quarter. The year-on-year margin improvement comes from the -- on the back of operational progress made in warehousing and distribution primarily. This quarter marks the seventh consecutive quarter year-on-year margin improvement. And meanwhile, the margin contracted sequentially. On the top line, revenue grew 1.9% year-on-year, driven mainly by warehousing and distribution, but fell 0.5% sequentially against the third quarter of this year of '25. Our focus remains on stringent cost control, portfolio discipline and capital efficiency to live the performance upwards towards an EBIT margin target of 6%. We are happy about the general trend throughout the past 7 quarters, but we also clearly have more work to do. In Ocean, we had our second full and clean quarter after the Gemini implementation. We delivered above-market volume growth with volumes up 8% year-on-year and a stable -- and stable on the prior quarter following the peak season. The network continued to deliver high schedule reliability of 90% for our customers despite significant weather disruptions and substantial cost savings to Maersk. We continue to use our fleet efficiently with utilization of 94% on par with the third quarter. The cost benefit and agility of the new network have bolstered our operation against the backdrop of the ongoing freight rate decline. In Terminals, we delivered a solid quarter in a record year with a strong top line growth, mainly driven by volumes. Volumes grew 8.4%, driven by Europe, North America and Latin America and mainly through the Gemini network. As we mentioned last quarter, much of the volume uplift has come from Gemini, which has put more boxes through our gateway terminals. Utilization remains high at 88%, but we are confident that with ongoing investments, we will continue to be able to capture good volume growth in the coming years. Finally, return on invested capital for Terminals remained strong at 16.1%, well above the target of 9%. Turning to the main achievement of the year. We have updated the Gemini cost benefit we showed you previously and now expect the benefits to be higher than our initial guidance last quarter. Starting with bunker. We can see that the continued advantage of Gemini stemming from a more efficient use of our ships, for example, through lower speed, shorter distances and shorter dwell time is allowing us to reduce bunker consumption. This translated to an approximately 9% bunker consumption improvement adjusted for capacity for the quarter. Then on the asset turn side, from the more efficient use of our vessels, Gemini allows us to transport more volumes on the same capacity. This quarter, we saw capacity growth of about 4% year-on-year against a volume growth of about 8%. The delta was about 4 percentage points, representing the improvement in asset turn. We can quantify the bunker consumption improvement of about 9% at fixed bunker prices into a cost benefit of about $150 million for the quarter. Likewise, we can quantify the asset turn improvement of about 4 percentage points, which against our total network where cost translates into about $120 million of cost benefit for the quarter. An added advantage of Gemini has been to increase volumes in some of our gateway terminal, allowing us to significantly increase throughput. As with the prior quarter, the additional uplift has generated about $4 million in benefit this quarter, which annualizes to about $120 million to $200 million based on full year implementation and seasonality. Overall, across Ocean and Terminal, therefore, we have generated over $300 million in benefits here in the fourth quarter, and we are now targeting $820 million to $1.1 billion in annual benefits. Turning to our midterm targets. As you might recall, we introduced these targets back in May 2021 to cover the midterm period of '21 to '25. Even though the reporting period technically ends, we will continue to use those indicators for 2026 and report on our progress in the same terms. Later in the year or early in 2027, we will revise our achievements and formulate new midterm targets. Nevertheless, we are finishing those 5 years -- as we're finishing those 5 years, it is time to have a closer look at the progress made, and you can see to the right of the table how we have performed over the 19 quarters since the introduction of the targets. Overall, we have delivered exceptional performance at the group level with almost all quarters delivering last 12 months ROIC above target, which translates into an average ROIC of above target for all 19 quarters. Similarly, Ocean has performed well with EBIT above the 6% target for all but the first 2 quarters in 2024 and this most recent quarter with downward pressure on rates from increasing overcapacity. Terminal has truly transformed with a ROIC starting shy of the target back in 2021, but has been consistently above its target of 9% since the first quarter of 2023. At the same time, we know where we have fallen short, namely in Logistics & Services, with an EBIT margin still below the 6% target that we laid out and modest revenue growth because of challenged products, primarily in middle mile and warehousing. Our priority in 2026 is to continue to improve where we have fallen short in Logistics & Services. And that is a good segue into the next slide. Looking ahead to 2026, we have laid out our key strategic priorities. In Logistics, our priority is to accelerate margin improvement and push harder on growth wherever it makes sense, which we define as the many part of the portfolio delivering high margin and where higher volumes will increase network utilization and thus, translate also in better margin. Focus areas are, for example, a further reduction in white space and contract logistics or adding density to our e-commerce network. As part of our efforts to accelerate improvement in Logistics, we will simplify the organization as well. I will get back to this shortly on the following slide. Within Ocean, we seek to protect the high asset turns we have achieved with Gemini, which will allow us to carry more containers with our existing fleet and so we can grow with minimal fleet expansion. Further, we continue to grow with the market as we did in 2025. Given market headwinds we are facing in -- for 2026, we will focus on profitability by sticking to our core principle of cost leadership, which will prove to be even more important in the coming quarters. Finally, in Terminals, we continue to grow through existing and new location, maintain long-term profitability and ultimately deliver on our ROIC target. Our aim here is growth, concession excellence and operational excellence. Across all our business segments and in corporate, we continue to focus on driving further efficiency and simplification of our organization. Cost leadership remains core to being the best operator. We are transforming our organization within the Logistics & Services as well. This is to drive more value for our customers and reflecting the feedback from all of you. It will increase comparability and transparency to allow you to better benchmark our performance with peers. We will report 3 new product segments, which reflect how we will simplify also the way that we run the business. These segments will be landside, forwarding and solutions with each of these product segments comprising its own set of products. Landside will comprise local and regional products linked to inland transportation, drayage in and out of terminals, ground freights in North America which offer largely expedited LCL road transport between centers. Depots, which are often located close to ports and terminals as well as custom services to assist customers with declarations, tariffs and other regulatory matters. Forwarding will comprise global forwarding and ancillary products, namely air freight, less than container load for ocean forwarding and project logistics of large cargo as well as insurance. Finally, solution will complain supply chain management, e-commerce and warehousing and distribution. This organizational change will take effect on April 1 and will be reported externally for the first time in the second quarter reporting later this year in August. We will provide at that time, a year-to-date and year-on-year figures according to the new segmentation to help you for comparability purpose. Finally, on the guidance for the upcoming year. First, we expect global container volumes to continue to grow in 2026, with growth expected to be between 2% and 4% and for Maersk to grow in line with the market. In that context, we expect an underlying EBITDA of $4.7 billion to $7 billion, and underlying EBIT between negative $1.5 billion to positive $1 billion and a free cash flow of negative $3 billion or higher. While we plan on operational progress and growth across segment, we expect container shipping rates to develop adversely, such that our guidance for 2026 is lower than for 2025. The guidance range reflect industry overcapacity that already exists today from the new vessel deliveries and different scenarios with respect to a full Red Sea opening in 2026. Our CapEx guidance for '25 and '26 is unchanged compared to the previous levels and around $10 billion to $11 billion, and we expect the current funding -- the corresponding figure for '26 and '27 to be the same. I'll now hand over to Patrick, who will walk you through the detailed financial and segment level performance.
Patrick Jany: Thank you, Vincent, and good morning, everyone. We closed the book on 2025 with a good operational delivery in the fourth quarter, delivering an EBITDA of $1.8 billion and an EBIT of $118 million, implying margins of 13.8% and 0.9%, respectively, placing us very much where we expected to be. On a full year basis, we delivered an EBITDA of $9.5 billion and an EBIT of $3.5 billion, equating to a 17.7% EBITDA margin and a 6.5% EBIT margin for 2025. While both Logistics & Services and Terminals delivered improving year-on-year performance, excluding one-offs, the first benefiting from improved operational efficiency and the latter from higher throughput from Gemini, the quarter saw overall decreased earnings resulting from receding freight rates in Ocean. Return on invested capital was 5.7%. This is lower both year-on-year and sequentially and reflects the additional investments made this year in Ocean and Terminals together with a very strong earnings in the latter half of 2024, no longer being included in the last 12-month measure. We continued returning cash to shareholders in Q4, distributing $620 million through the ongoing share buyback program for a total of $2 billion for the full year. Finally, we maintained our strong liquidity positions with total cash and deposits at $21.4 billion at quarter end and with net cash decreasing year-on-year to $2.9 billion primarily due to the cash returned to shareholders through dividend and share buybacks. Going into 2026, our balance sheet remains strong and allows us to continue pursuing our strategic growth objectives while simultaneously returning cash to shareholders and weathering the expected downturn in Ocean. Let's take a closer look at the cash flow breakdown on Slide 15. The fourth quarter operating cash flow was $2.5 billion, driven by an EBITDA of $1.8 billion, together with a positive impact from a substantial unwind of net working capital. This resulted in strong cash conversion of 137%, up on last year's 123% in the quarter, leading to 102% conversion for the full year. Gross CapEx decreased to $919 million, down both year-on-year and sequentially, primarily due to a lower level of investments in Ocean which, together with capitalized lease installments of $819 million resulted in free cash flow of around $1 billion. For the full year, CapEx landed at $4.8 billion at the lower end of our guidance. Free cash flow also included a positive contribution of $349 million, mainly from dividends received from our minority investments. We repurchased roughly $620 million of shares during the quarter, which is reflected in the dividend and share buyback column. Finally, a large portion of our term deposits matured in the quarter, implying an increase of the readily available cash. Starting our segment review with Ocean on Slide 16. Strong demand prevailed in the fourth quarter and our Ocean business managed to successfully capitalize on this momentum, delivering substantially increased volumes while reaping the cost benefits of Gemini in an otherwise deteriorating market environment. Volumes increased by 8% year-on-year across more trade lanes, driven by sustained strong Asian import. Sequentially, volumes remained roughly stable at a negative 0.4%. Fit rates continue to decline in response to the ongoing market pressure in industry supply demand imbalance, declining by 23% year-on-year and 8.8% since the previous quarter. As a result of the significant rate decline, profitability turned negative in the fourth quarter as Ocean incurred a loss of $153 million. Ocean continued to benefit from the Gemini network. The scale reliability of the network remains in line with our target. And we have seen the immediate financial and operational year-on-year impact of better asset turns and bunker savings cushioning the full impact of declining rates. While continuing to invest in our Ocean business in line with the overall strategy, CapEx was comparatively low at $603 million compared to $1.2 billion last year, mainly due to significant vessel installments in Q4 2024. Sequentially, CapEx also decreased by around $300 million due to lower equipment investment. On the next slide, you can see a breakdown of the individual elements, which contributed to the EBITDA development in Ocean. The year-on-year rate decline was the dominant headwind, contributing a large negative impact of $2.1 billion, only partially offset by stronger volumes. The price of bunker decreased 11% year-on-year to $512 per tonne, which had a positive impact together with 5.4% lower bunker consumption from primarily Gemini-related efficiency gains. Container handling costs were up from increased terminals and empty repositioning costs. And then there is a negative comparative impact from the timing of revenue recognition in the final bucket, offsetting the impact of lower SG&A costs. Overall, Ocean EBITDA for the fourth quarter landed at $1.2 billion, down 59% from the previous year and 35% sequentially. Now let's have a look at the KPIs of the Ocean business on Slide 17. Loaded volumes increased by 8% year-on-year to 3.4 million FFEs across most trade lanes from continuing strong Asian exports, leading us to almost 30 million FFEs for the full year. At the same time, average freight rates decreased 23% from last year and 8% sequentially, while remaining flat throughout the quarter itself. Unit cost at fixed bunker decreased 4% year-on-year and 1% sequentially, benefiting from the stronger volumes offsetting the higher cost base. Bunker costs decreased 12% year-on-year, primarily from 11% lower bunker prices and further supported by the already mentioned 5.4% lower bunker consumption driven by high efficiency of the Gemini network. This was all partially offset by the EU ETS payments. The size of our fleet was stable sequentially at 4.6 million TEUs, implying a 4.3% increase year-on-year. This is the result of the capacity injection in early 2025, initially for Gemini, which has allowed for higher volumes and to satisfy the strong demand, which is also reflected in our sustained high utilization, which was sequentially unchanged at 94% in the fourth quarter. In terms of product mix like in the last couple of quarters, a majority of the volumes came from strong term contracts with 55% of volumes in Q4 compared to 45% of volumes for our long-term contracts. Looking forward for 2026, we expect a slightly higher share of volumes to come from long-term contracts with about half the volumes to come from long and half from short-term products, respectively. I would also like to briefly comment on the change in how we account for our vessels in -- on the balance sheet starting in January 1st of this year. Over the last years, we have observed an increase in the average time frame in which our vessels remain economically viable. And as a result, we have increased the estimated useful life from 20 to 25 years. The impact of this will be approximately $700 million of reduced depreciation in 2026, which is reflected in the financial guidance, as you might have already read in the footnote. We continue to our Logistics & Services business on the next slide. The year-on-year development in Logistics & Services highlights the operational improvements to the segment that we have made throughout 2025. While there was top line growth, the biggest difference came through improved profitability resulting from our efforts at turning around the more challenged products like warehousing and middle mile. Revenue in Logistics & Services grew to almost $4 billion in the quarter, up 1.9% compared to last year, driven by improved volumes across most products. Sequentially, revenue declined modestly at negative 0.5% following a strong third quarter. EBIT increased to $194 million, mainly driven by solid performance in warehousing, last mile and lead logistics. This implies a 4.9% margins, up 0.8 percentage points compared year-on-year and marking the seventh consecutive quarter of year-on-year EBIT margin increase. Sequentially, the margin decreased by 0.6 percentage. CapEx was $129 million in the fourth quarter, declining another quarter year-on-year to reflect the slightly lower investment level in 2025, where focus has been on improving operational performance. Now let's have a look at the segment breakdown by service model. Overall, we recorded a positive business development in a generally supportive business environment with one of the biggest weak point being the U.S. import-linked activities. This can be seen in particular, in freight management, where revenue declined to $532 million, down 8.9% year-on-year as lead logistics volumes were significantly down on the China-U.S. corridors, given the tariff environment, while customs held broadly stable. EBITDA margin improved to 19% from better execution. Fulfillment services increased revenue by 1.5% to $1.5 billion, while increasing the EBITDA margin to around breakeven. Warehousing was here the largest contributor to the higher margin with middle and last mile also trending better after the rebasing actions we executed during the year. In Transport Services, revenue grew by 5.6% to $1.9 billion. EBITDA margin eased to 7.1%, and strong air and landside transportation volumes growth was offset by softened prices against a still relatively fixed cost base in own control capacity. Additionally, margin was impacted by a $22 million impairment of aircraft, representing about 1.2 percentage points of the year-on-year margin decline. Stepping back to margin journey we set out at the start of the year remains on track. We have lifted the operational flow in our fulfilled by Maersk products and prioritize profitable wins while keeping CapEx insured. While the business is by far not where we want it to be in terms of growth and profitability, 2025 has moved us closer. Let us now turn to our Terminal segment. This business rounded off an excellent year with another strong quarter. Revenue grew 13% to $1.4 billion, driven by strong volumes, which increased 8.4% year-on-year, supported by increased throughput from Gemini and geographically driven by Europe, North and Latin America. Additionally, the top line was supported by a higher rate level. With another quarter of strong volumes, utilization for Terminals remained high at 88%. Revenue per move increased 4% year-on-year to $363 per move driven by improved rates and favorable FX development, somewhat offset by lower revenue from storage. On the other hand, cost per move increased by 5.9% from labor inflation coming through together with adverse FX, overall increasing despite higher utilization. Terminals delivered fourth quarter EBIT of $321 million, down 5% from $338 million the previous year, impacted by an $86 million expense related to the impairment of a terminal in Europe and a write-down in Asia. Adjusting for this one-off, EBIT would have increased to $407 million, equivalent to an EBIT margin of 30.1%. Sequentially, EBIT decreased as expected given the significant positive one-off reported in the third quarter. On the back of strong performance throughout the year, return on invested capital increased to 16.1%, CapEx remained stable at $152 million, roughly in line with previous quarters. Now let's have a look at the breakdown of Terminals EBITDA development on the last slide. EBITDA for the fourth quarter increased to $440 million from $421 million the previous year. The year-on-year increase came mainly from the higher volumes contributing a positive impact of $52 million, which was further supported by a $16 million impact from higher revenue per move. This more than offset the negative impact from labor inflation and higher costs of $48 million. This finishes our business segment review. Let us now proceed to the Q&A. Operator, please go ahead.
Operator: [Operator Instructions] And we have the first question coming from Muneeba Kayani from Bank of America.
Muneeba Kayani: So Vincent, you talked about the range of the guidance. I just wanted to get back on that, like how have you thought the low and the top end of that guide in terms of a freight rate scenario or Red Sea timing? I know you said gradual reopening is kind of what you've assumed, but if you can help us think about that scenarios and kind of the cadence of that guide for this year, please?
Vincent Clerc: Muneeba, thank you for your question. I think the way to think about this is whether it is through the new ships that are coming in or through the return to Suez, we're going to free about -- we're going to have an overcapacity of anywhere from 4% to 7%, 8%. And for that to resorb itself, you will need to see some scrapping. There is a lot of pent-up capacity that needs to get scrapped and didn't get scrapped since COVID basically for 6 years. And there is also a tonnage that needs to be returned. So that will create a few quarters that are going to be a bit bumpy. If we return fast and full to Suez, we will see probably more pressure on the freight rate because there is a bigger gap that we need to close at once. If we have an orderly slow gradual return, we might be able to manage it better, but it all starts to get to the upper end of the guidance that we start to see some scrapping starting to occur because it means that we're starting to eat into some of that overcapacity. And so it really depends how quickly the industry reacts to the current start over the capacity, how quickly we move through -- we get back to Suez and how much of the tonnage gets pushed back to provider. I think that's really the underlying thing that you need to get into towards the upper or the lower end of the guidance.
Operator: The next question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: It's a two-part question, if you allow me. The first part of CMHC has recently announced that it's selling a 25% stake in their terminal business. Would you consider spinning off or selling a stake in terminals to crystallize value or accelerate the growth in Terminals? And in relation to this -- in relation to the capital allocation, there are some opportunities out there, Panama ports. You talked about Logistics M&A. The way you've reduced the share buyback, so just a more prudent approach on capital deployment. Is this prudent approach valid also for acquisitions in Terminals and Logistics.?
Vincent Clerc: Cristian, we've seen the deal from CMA. I think they are trying to monetize some of the portfolio. I think with the balance sheet that we have today, we have no need to monetize and can perfectly as we do this year, even on a reduced guidance, maintain a strong return to shareholder and conduct the investment that we need to do. You mentioned Panama, there would other -- I think, in general, the world has underinvested in terminal capacity for a while, and there is over the coming decade, need for significant investment in greenfield projects to add terminal capacity to match the flows of containers that there is globally. That's also what we plan on doing, and you've seen some of those facilities start to come online during 2025. There will be more in the coming months and quarter. But here also, we have the wherewithal to do it. We have the wherewithal to continue to renew our fleet and be able to sustain a strong position in shipping. And then on Logistics, it's always a question of finding the right candidate, the right opportunity and being ready to do that integration. Certainly, that remains one of the financial axis of the strategy. But at this stage, I would say we are, of course, prudent towards capital deployment and keeping as much of our powder dry as possible given some of the unknowns in the outlook. But it is exactly to preserve the ability to countercyclically go and do some moves when the time comes.
Operator: The next question comes from James Hollins from BNP Paribas.
James Hollins: Best of luck to you Patrick. Thanks for everything. Just on the Red Sea, I'm just wondering if, if you can run us through kind of the rationale you saw with your desire seeming desire to be a first mover back in the Red Sea amongst your main competitors and kind of linked to that, the expected time lines as you would see them for Maersk to be fully back through the Red Sea, assuming everything else geopolitically stays the same and kind of what you'd expect to see from your competitors from here?
Vincent Clerc: Yes. Thank you, James. So a couple of points to start with. If you look at the Suez transit in January, they're up 50% versus what they were a year ago. So -- and that's not with a lot of Maersk ships there was only one of them that crossed during that period. So we're not the first movers. There has been a significant uptick across tankers and bulk segments, for sure, but also with CMA having a much more aggressive, they have multiple services already that have been transiting throughout the period and more aggressively also over the past month and even quarter. So we are a second mover, if you will, on that. For us, the security assessment has been on different levels. First of all, obviously, we follow the situation in Gaza, where we seem to be moving slowly along a peace process with where we are going to go with the reopening of the border with Egypt and so on, where there's a lot more talk about now reconstruction rather than a new round of hostilities. There has not been any attack since October from the Houthis on any ship. There has been declaration also from the Houthis that they do not intend to attack anybody. So for us, the -- and again, a lot of ships are crossing every week. And we monitor the situation and how we're doing. We're talking to others and see what intelligence do they have. The conclusion that we have is today, it is safe for us to move into a Phase 1, which is having some services specifically the ones for whom going around the Cape of Good Hope is the longest deviation where it is safe to move under escort and go through the Bab el-Mandeb. There is limited escort capacity. There are a lot of shipowners today that already moved through Bab el-Mandeb without escort. I feel that it's a bit premature for at least for how we assess the security situation. And therefore, there is a certain limit to what we can do. At some point, we need to get into a situation where the temperature comes further down, where we feel it is also safe for us to move into -- to reopen services even if we don't have escort. And that would be probably what triggered the difference between what we have announced so far and a more full return would be the ability that we have to see that we can move without the military escort that the service that we do it today have.
Operator: The next question comes from Lars Heindorff from Nordea.
Lars Heindorff: Yes. On the share buyback, I don't know if you can indicate your thoughts behind the $1 billion, down from the $2 billion last year? And also, what kind of balance sheet ratios, I don't know if net interest bearing debt to EBITDA is the only ratio you look at? Or if there are other ones that you sort of steer after in order to determine the size of the share buybacks?
Patrick Jany: Yes, I think probably two parts to your question, Lars. So first on the share buyback, I think we decided to continue with the share buyback. I think, which is the main message here because we have a strong balance sheet. And as we have said before and Vincent mentioned as well on the call, we will continue to obviously invest in growth in Terminals to renew our fleet and also to expand our logistics business while knowing that you were downturn in Ocean. This is now coming, I would say, closer with a return to the Red Sea, which you see different scenarios reflected in our guidance. I think it's a word of caution to continue the confidence, which we show by continuing, but also reduce a bit the dimensioning, which at $1 billion is still pretty significant when you look in terms of absolute returns. So we feel it's a good balance. But by keeping a prudent approach to the balance sheet obviously recognizing and keeping a commitment to return cash to shareholders. If you look at the ratios, which we use for that, I think when you are on a net debt positive, so a net cash position, the ratio is a little bit out of scope in terms of net debt-to-EBITDA, clearly. So we look more at free cash flow, right ratios, but we are well above those elements. So it's really when you look forward on -- as we talked around the last few years, when you model a potential overcapacity having an impact on Ocean profitability and the Red Sea returns compared to the progress in Terminals and Logistics. You come into different scenarios, and we feel with this strength of balance sheet, return on shareholder via SBB, but also our guidance. We have a good cushion looking ahead, and we will not be threatening any ratios. Typically, as you know, we aim to be solid BBB. That is quite far off the position where we are today. We can only repeat the 1.5x net debt-to-EBITDA as an order of magnitude on the over-the-cycle EBITDA, obviously, not the crisis year EBITDA as being the reference in terms of balance sheet modeling.
Operator: The next question comes from Jacob Lacks from Wolfe Research.
Jacob Lacks: So it feels like there's a pretty clear focus on the cost structure between the corporate restructuring and further increases in Gemini savings. To the extent the market remains oversupplied beyond just this year, do you think there's further cost opportunity to help offset inflation rightsize the cost base?
Patrick Jany: Jacob, yes, I think -- so obviously, as we head towards leaner times, focus on cost and very hard focus on cost is absolutely paramount. So I think the work that we have done with Gemini has yielded quite a significant amount of efficiencies for us. We think that there is more that can be done there. And certainly, we're going to do this. A return to Suez is going to reduce costs going to enable more slow steaming as well. So -- and we can expand some of the Gemini philosophy to other services. Something can be done on organization as well. We've made some announcements on this. I think there are -- there are 3 more levers to reduce cost further. The first one is we still have a time charter market that is at extremely elevated level. which usually follows freight rates after -- with a bit of lag. And I think when the trend on freight rates confirms itself, which, I mean, unless there is another shock, this is what we're going to continue to see in the months to come, we're going to see the time charter market come down as well, and this will generate significant savings as well because a significant amount of our fleet also is on time charter and will gradually be renewed at those lower levels. That's the first -- that's the first one. The second one is procurement. I mean the times have been good. And of course, some of our suppliers might have been benefiting a bit from that. And that's certainly time for us to just make sure, and I think this is going to happen across the industry that we get back to pretty hard core negotiation on everything and in some cases, roll back some of the inflation we have seen in the past few years. And then finally, I think on the front of productivity, the scaling of some of the AI tools that we are having, they have some opportunities to go further on the organizational costs in the couple of years to come. And so those are the areas where we feel there is more to go get and that will help continue to cushion further I think the results, if the supply and demand environment stays weak for a few quarters. And then, of course, the other thing is to continue to diversify the portfolio. The more -- the better margins we get in logistics, the more we get out of our Terminal business also to more, it kind of reinforces the whole thing.
Operator: The next question comes from Alex Irving from Bernstein.
Alexander Irving: I'm going to come back on your Gemini cost savings, please, on your slide 7. So you talk about $820 million -- $1.1 billion of annual cost savings, $960 million at the midpoint, of which there was $310 million in Q4, about 1/3 of it so our cost savings going to be lower in the coming quarters? Or how should we think about the cadence of those cost savings as we go through 2026, please?
Patrick Jany: Yes. So I think, Alex, you can expect it's hard to estimate there is some seasonality always. I think the savings are going to be a bit less in the first quarter because you have Chinese New Year with a month of subdued demand and a lot of canceled sailings and so on. And then I think we look a bit at the average of what we have achieved in the third quarter and the fourth quarter, adjust also for maybe seasonality demand first quarter and then we get to a midpoint. What I think is truly important here is that we can see the consistency with which this is being delivered. You see this on a quarterly basis. I have the benefit of getting weekly reports on that. I think this is very, very solid. We've really made a parallel shift on our production cost with Gemini. And we can see that with some of the reports or some of the financial data we're getting on some of our competitors that we can actually notice that we stand with a competitive advantage today. And especially given some of the tougher times, we might have ahead, I mean that is going to stand -- they're going to be very -- are hitting a dry spot, if you will. I think for us, the key now is to say, how can we grow that? Of course, we need to realize the $1 billion for the full year. But then how can we grow that further because Gemini today is about half of the network, and there is still some potential for us to do that elsewhere. But it does require, for instance, that we have a permanent hub in Panama, so we can stabilize our Latin American coverage over there. It does require a few things that we're working on now to continue to grow that competitive advantage.
Operator: The next question comes from Alexia Dogani from JPMorgan.
Alexia Dogani: Could you let us know if you're interested in engaging in any shipping M&A?
Patrick Jany: Is it because you're aware of candidates or are you selling? I think it's really hard to comment on that. I think the strategy that we have is pretty clear. Our focus is we have an infrastructure business in Terminals and a Logistics business that have a lot of growth potential and a lot of very stable and solid earning potential. At the same time, we have a shipping business that we continue to invest in from a renewal perspective and where we keep an eye on the competitive landscape and how we can stay, how -- what is the best way for us to remain competitive and not just bleed this to a place where certainly it's not good. So it is not the focus for us to do that in the shipping. Our focus is elsewhere. Our strategy is unchanged. But it's something that might require a review at some point. But I think for now, that's the strategy that we have.
Operator: The next question comes from Arthur Truslove from Citi.
Arthur Truslove: So just quite a simple question for me. Based on freight rates that we've seen thus far, is there any reason why the loss in notion in Q1 should be significantly different to what you saw in Q4? Obviously, at the EBIT level and obviously stripping out the adjustment you've made the depreciation rates.
Vincent Clerc: So I think there's 2 things you should expect in Q1. First of all, I think quite a lot of the contracts are basically resetting either the 1st of January or the 1st of February. And then you have some seasonal fluctuations around Chinese New Year, which means that in general, the volumes and therefore, the yields that you carry on your network are a bit lower than what you have in a normalized quarter, which the last 2 would be from a volume perspective.
Operator: The next question comes from Parash Jain from HSBC.
Parash Jain: I have one follow-up question. if you can shed some color on how has the start of 2026 been? And we have seen some pullback in the rates leading up to the Chinese New Year. But when you look at the CCFI trend sequentially or when you look at the guidance from one of your Asian competitors, it seems like all else being equal, first quarter will be sequentially better than fourth quarter. Do you concur with that impression? And secondly, what are you hearing from your customers, particularly in the U.S. with consumption remains solid potential restocking post Chinese New Year?
Patrick Jany: Parash, Yes. So as Vincent was saying, I think we obviously don't guide on the quarter. But I think if you look at directionally, we would expect rates to continue to come down. And as Vincent was saying Q1 is not the strongest quarter, right? You have Chinese New Year and so on. So the rhythm will be determined on how the business is doing after Chinese New Year, right? What is the level that is set afterwards. I think if you look at our yearly guidance, it implies certainly that Ocean will have results lower than it has in 2025 or even the last quarter of 2025. As you can assume that Terminals will continue to be good. Rather stable, I guess, from 1 year to the other logistics will continue to progress, and therefore, the difference in EBIT is clearly to be looked at from the Ocean point of view. So I think clearly, we see demand still strong. We had just guided for 2% to 4%. So there might be here and there some quarterly impact. As I said, for Q1, it is Chinese New Year and the rebound. But overall, for the year of '25, we see on a continuation of a quite solid demand. So between 2% and 4%, so roughly 3%. And the EBIT of Ocean being obviously significantly worsening as the rates have come down and continue to come down.
Vincent Clerc: And then on the U.S. consumer, I think the sentiment from the customers I've been talking to is that actually 2026 in the U.S. is going to be strong. There's a midterm coming, and there is a huge fiscal stimulus that continue to be put into -- pumped into the U.S. economy. And therefore, the American consumer keeps on doing what it does best, which is actually consuming. And so we expect demand to stay quite stable in the U.S. and to continue to grow also elsewhere. After that,' '27, we'll have to see, but that is for '26, that's -- we see no sign of weakening anywhere.
Operator: The next question comes from Ulrik Bak from Danske Bank.
Ulrik Bak: Just a question on your Ocean volume growth for 2026. You obviously assume the volume growth to be in line with the market, 2% to 4%. However, over the past couple of quarters, you've actually outgrown the market. So would it be fair to expect some tailwind in Q1 and Q2, where you may grow faster than the market as Gemini was only ramping up in H1 last year before aligning with the market in H2. Some comments on that, please?
Vincent Clerc: Yes. Ulrik, I think look at it over the years, you will always have a couple of quarters where you are a bit faster. It's always super hard to just hit it right down to the month or the other quarter basis. I think if you look at 2025, clearly, the Q1 was a bit weaker on the volumes and then the following 3 quarters were very strong and it contributed to us growing in line with the market for the year. I think probably just a year-on-year comparison would assume that then because we had a first -- a bit of a weak first quarter, growth will be higher than market in Q1. But since we have very strong quarters after that, then more subdued and distributed after -- in the subsequent quarter. But overall, we're going to be able to tag along with the market.
Ulrik Bak: That's very clear. And if I may just follow up, just in terms of your capacity in Ocean, if your prediction that we will see a return to the Red Sea. How should we think about your capacity in Ocean, which has gone up quite significantly over the past couple of years?
Vincent Clerc: I think you should think about -- you should think about it in a way that we're going to manage it with a keen eye on the bottom line. There is some tonnage that we will keep and reinvest into slow steaming. There is some tonnage that we will return to the tonnage provider. As I mentioned before, I think the market is going to come down. We're going to do also a lot of yield management. The fact that the deliveries that we have from our order book is maybe not as high as some of the others, and we still want to keep growing with the market may mean that some of it we will keep and invest it into ensuring that we do grow with the market. But we have basically -- I think we come into this down cycle with a lot of flexibility. We don't have a lot of capital commitments in investments that are coming online. We have a fairly flexible portfolio. So I think as this situation normalizes, we are left with the optionality to do what's right for the bottom line.
Operator: The next question comes from Marco Limite from Barclays.
Marco Limite: So you were discussing before about '26 and potentially at least a few quarters of very weak spot rates once and when the Red Sea opens. But then if we look beyond '26, in '27, '28 we have according some external data, we have got 9% capacity addition in '27, 14% '28. I mean, what do you expect for profitability? I mean do you think that profitability will further slowdown in '27 versus '26 and even more '28 versus '27 given the very big influx of new capacity? And therefore, what can you say at this point in time about share buyback beyond '26, so share buyback in '27 and '28?
Patrick Jany: Look, when you look at the development, we have obviously alluded it in our previous encounter. I think we have a strong balance sheet towards the downturn. The unknown is how deep and how long will it last, which is your question. I think you have 2 different models. One is to have it on a multiyear smaller impact or to have it on a deeper impact in 1 year and then it rebounds because ultimately, as we have listed and also Vincent alluding to it, -- you do have a lot of capacity, which has not been replaced. So you do have a lot of old vessels on the water, which are economically not viable, which with the current level of rates -- and if you project that this continues, are just not economically viable to be in the water. So there will be, at one point in time, return to the capacity providers or scrapped or idled. And those tools will be deployed as soon as the rates are starting to take effect and be painful from the cash point of view. And therefore, I would expect this to happen this year, particularly in the scenarios where the Red Sea reopens fully and fast. That will trigger a reaction. So our view is not that we will have 3 years of pain, but more that you will have 1 or 2 years of pain and then the capacity will be taken out and that will readjust a little bit because ultimately, demand is actually quite solid and has been quite solid, and we see it for '26 as well, quite stable. So those elements will adequate over time. It is hard to say whether it's in 12 months, 24 months or 36 months. But it will adequate. And therefore, we don't feel that the balance sheet is stretched on the one hand, but on the other hand, it is conservative and good to keep a solid balance. And share buybacks are every year, right? So we will look at it every year. And if the world is totally different from what we expect, we'll have to come to new conclusions. But for now, we see that it's actually pretty much in the line of the scenarios that we have discussed in the past.
Marco Limite: And is there a sort of minimum level of rates you have got in mind for the medium term?
Patrick Jany: Sorry, can you repeat the question? We didn't get it here.
Marco Limite: Sure. Is there, let's say, a minimum level of rates on which the industry can leave in your view on the medium term? Where things will normalize despite the big influx of capacity?
Patrick Jany: Yes. So I think the important thing to consider is that -- for me, the overhang of capacity that is coming in the next 4 years, when I put it side by side with the amount of ships that are over 26, 27 years, and that would be candidates for scrapping because they are just at level of either fuel efficiency or cost or whatever that are no longer or size or models that are no longer competitive. I think this -- we have all the tools across the industry to get this back in whack. The question for how long it takes is how long does it get for the industry to get back to what was normal before like hygiene before every year, but that has not been necessary for the past 6 years because of the abnormal cycle we've been into. If it takes long for the discipline to come, then you will see rates that can be at a difficult level for a while. If you -- if there is good discipline and people do what needs to be done because it's not a lot, it's not abnormal. Then this could resorb itself quite fast. But I think what -- to your point, I think you will go down to incremental cost. So that, I think, is a bit of the -- what is your -- what is the incremental cost that there is for the capacity. And then so you get to this cash neutral pricing. And then on the up as well, if the profit gets above a certain margin, where some of these old ships make sense to sell, then you might want to keep them. So I think the need that there is now to do that homework will put both a floor under how bad it can be, but also probably a ceiling about how high it can be for a while before people stop doing what they need to do, and it pressures things again.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Vincent Clerc for any closing remarks.
Vincent Clerc: Well, thank you for joining us today. And to summarize, I think that we have finished 2025 with a really solid fourth quarter, translating into a strong full year results with our 2025 guidance delivered. We demonstrated operational products across all of our business segments, most notably with the successful implementation of Gemini in Ocean, the operational initiatives that we undertook in Logistics & Services, which have improved our margin there and a record year in our Terminal business helped by the volume uplift from additional Gemini services. Further, we continue to deliver significant capital returns to our shareholders with the continuation of a share buyback program and dividend in 2025. As we navigate the potential headwinds of the external market environment, our focus remains the same as in prior quarter, and that is to stay the course on being the best operator and for the upcoming period, this means focused on cost discipline and reduction, improving productivity and simplifying the organization. We will look forward to seeing many of you on our upcoming road shows and conferences. Thank you for your attention, and see you all soon. Thank you. Bye-bye.